J. Hill: [Foreign Language] At this time, I'd like to start this session to announce the consolidated results for the second quarter for fiscal 2016. My name is Hill, and I'll be your emcee today. And I'd like to introduce our speakers, Deputy President and CFO, Representative Corporate Executive Officer, Kenichiro Yoshida. We have Kazuhiko Takeda, Corporate Executive and Corporate -- responsible for corporate planning and control and accounting. Then we have Ms. Atsuko Murakami, Corporate Executive in Finance and Corporate Development. Mr. Yoshida will make the presentation first, and that will be followed by questions and answers. Altogether, we shall spend 45 minutes. 
 Mr. Yoshida, will you please start? 
Kenichiro Yoshida: Thank you. I am Kenichiro Yoshida, CFO of Sony. First, I would like to say a few words about the wrongful conduct that occurred at Sony Design Incorporated, which we announced on Friday of last week. As we said in the announcement, we have discovered that certain former executives and employees of a Sony-affiliated company illegally paid out company money and misappropriated part of the money for themselves. At this point in time, we estimate that JPY 900 million in damages were incurred by LSI due to this wrongful conduct, which was repeated over a period of some 4.5 years. Sony is considering launching criminal charges and pursuing civil liability claims against those individuals responsible for this conduct. 
 It is immensely regretful that this has occurred, and I would like to profoundly apologize to all the parties concerned. We're working to further enhance our internal control and supervisory systems so as to prevent recurrence of an incident of this kind. 
 Now I would explain the 2 topics in the next 15 minutes. As we announced yesterday, we signed a definitive agreement with Murata Manufacturing Co. related to transfer of our battery business. Due to the recording of loss related to this transfer of the business, we have downwardly revised our consolidated results forecast for the fiscal year. 
 In the second quarter ended September 30, 2016, we recorded a JPY 32.8 billion operating loss and JPY 4.5 billion of income tax expense related to this transfer of business. And at this point in time, we expect that these amounts will constitute essentially all of the losses that we will incur as a result of this transaction. And primarily due to the incorporation of these losses, we have revised our forecast for consolidated operating income downward by JPY 30 billion and our forecast for net income attributable to Sony stockholders downward by JPY 20 billion. 
 And now I will present the second quarter results. Consolidated sales for the second quarter decreased 11% year-on-year to JPY 1,688.9 billion. Consolidated operating income declined by 48% year-on-year to JPY 45.7 billion. We estimate that the negative impact from the April earthquakes in Kumamoto on the operating income in the second quarter, which ended on September 30, 2016, was about JPY 13.7 billion, including opportunity losses. And net income attributable to Sony stakeholders decreased by 86% year-on-year, down to JPY 4.8 billion. 
 This next chart shows the consolidated results for the first half, cumulatively, of the year, and this chart shows the result for each segment. The operating results of the Semiconductors segment and the Components segment, including the batteries business, significantly deteriorated year-on-year. On the other hand, the Pictures and Mobile Communications segments, which recorded losses in the previous -- same quarter of the previous year, had significant improvement in operating results. This chart shows the results for the first half of fiscal '16 by segment.
 Next is the consolidated results forecast for the current fiscal year. As I mentioned before, sales remained unchanged from the forecast we made in July. Operating income was downwardly revised by JPY 30 billion to JPY 270 billion. But there were improvements in other income so that the net income attributable to Sony stockholders was downwardly revised by JPY 20 billion, down to JPY 60 billion. 
 Our foreign exchange rate assumptions for the period are JPY 101 for the U.S. dollar and JPY 130 to the euro. 
 As is shown here, the negative impact of the Kumamoto earthquakes on the annual operating income is expected to decrease to about JPY 53.5 billion from JPY 80 billion that we announced earlier in July due to the faster rehabilitation of our Kumamoto factory.
 And here, you see the current fiscal year forecast by segment. We downwardly revised the operating income forecast in the Components segment, including batteries business and Pictures segment compared with the July forecast. On the other hand, we upwardly revised the income forecast for the Imaging Products & Solutions, Semiconductors and Home Entertainment & Sound segments.
 Now I will explain the current situation in each segment. First, Mobile Communications segment. This fiscal year, we're reducing mid-range smartphone model unit sales and downsizing the scale of the business in unprofitable regions. 
 Sales for the quarter decreased 40% year-on-year due to these initiatives and an underperformance of sales in Europe where we have a large number of unit sales. The primary reason for the sales underperformance was that our product lineup launched this spring did not meet the needs of the market. 
 Operating results improved JPY 24.3 billion year-on-year to JPY 3.7 billion in operating income due to the improvement in the profitability of the business, mainly resulting from cost reductions.
 We have downwardly revised our sales forecast for the fiscal year by JPY 60 billion due to a downward revision of our annual smartphone unit sales forecast by 2 million units to 17 million units, mainly resulting from the underperformance in Europe that I mentioned earlier. Our operating income forecast for this fiscal year remains unchanged, mainly because the impact of the lower sales is expected to be offset by our ability to ship our flagship model in line with expectations, fixed cost reductions and a positive impact from exchange rates. Although we recorded operating profit in the first half, the business is subject to significant risks, such as market environment volatility and recent underperformance in Europe. Thus, we are conservatively forecasting our performance in the second half. We aim to achieve operating profit for the full year. 
 Next, the Games & Network Services segment. Sales and operating income for the current quarter decreased year-on-year, and JPY 19 billion of operating income was recorded. The year-on-year decrease in sales was mainly due to the appreciation of the yen. During the current quarter, our hardware was changing due to the launch of a new model of PS4 in September.
 The year-on-year decrease in operating income was mainly due to the price cut of the new PS4 model. The negative impact on operating income of the price cut was partially offset by continued cost reductions, but operating income for the segment decreased due to the residual impact of decreased PS3 software sales. However, the strong momentum of the business continues as is shown in the 31% year-on-year increase in Network revenues.
 The sale of PS VR, which was launched in October, are on track. Furthermore, this month, we plan to launch the PS4 Pro, a high-value-added model. Our operating income forecast for this fiscal year remains unchanged. 
 Next, the Imaging Products & Solutions segment. Sales for the quarter decreased 25% year-on-year. Although the impact of the decrease in sales was partially offset by an improvement in product mix, cost reduction and other factors, operating income decreased JPY 8.2 billion year-on-year to JPY 14.9 billion, mainly due to the negative impact of the stronger yen. The negative impact on operating income from the Kumamoto earthquake is estimated to have been about JPY 3 billion for the quarter. 
 We have upwardly revised our operating income forecast by JPY 12 billion to JPY 34 billion from the July forecast. The revision was mainly due to an increase in the supply of image sensors due to a quicker-than-expected recovery from the earthquakes. We are working to maximize profitability by allocating the additional image sensors to high value-added products. 
 Next, the Home Entertainment & Sound segment. Although sales decreased 19% year-on-year, operating income increased JPY 1.8 billion to JPY 17.6 billion. Despite the decrease in sales from the negative impact of the stronger yen, we were able to continue to achieve an increase in operating income due to a shift to high value-added products and cost reductions. 
 Fiscal year operating income has been revised upward by JPY 6 billion compared with the July forecast to JPY 47 billion, mainly due to the strong performance of the Television business in the first half of the fiscal year. 
 Next, the Semiconductors segment. Sales for the quarter decreased 5% year-on-year, and an operating loss of JPY 4.2 billion was recorded, a deterioration of JPY 38.2 billion year-on-year. The significant decrease in operating income was mainly due to a JPY 19.7 billion negative impact from the stronger yen and JPY 9.4 billion of inventory write-downs on certain image sensor models. The write-down was on inventory of certain models we decided to stockpile last fiscal year. And about JPY 20 billion remains after write-down, but we think we can liquidate that inventory going forward. 
 We are forecasting a loss of JPY 53 billion, a reduction in loss of JPY 11 billion compared with the July forecast, mainly due to strong demand from Chinese manufacturers and a smaller negative impact from the Kumamoto earthquakes than had been anticipated.
 Now I would like to briefly explain my view of the operating environment in the Semiconductor business. First, in regards to image sensors for mobile use, which is our core business. Some of the product that we had expected to ship slipped into the third quarter, but demand recently has been quite strong, including from Chinese manufacturers. Price on a dollar basis is stable. 
 On the whole, orders going into the next year are strong. In addition, we expect the proportion of dual-lens cameras to increase above the level we expected at the beginning of the year. However, since the market for smartphone sensor changes very quickly, we continue to monitor the market trends very carefully.
 In the first half of the fiscal year, image sensors for applications other than smartphones like AV and surveillance cameras was significantly impacted by the earthquakes. Going forward, we are working to improve our profitability by focusing on the high value-added part of the market. Growth continues to be strong in the surveillance and drone segment. 
 As for automotive, DENSO Corporation announced the other day that it would use our automotive sensor, but we think that it will take time for the market to expand meaningfully. 
 Next, I would like to discuss the issues facing management. This fiscal year, there are several factors that are negatively impacting the results, such as approximately JPY 30 billion in impact from the earthquakes and the insurance recoveries, approximately JPY 30 billion in expenses related to the exit from high-functionality camera modules and inventory write-downs on certain models that I have mentioned earlier. However, the biggest challenge that will continue into the next fiscal year is how to respond to the appreciation of the yen, which is expected to have an approximately JPY 63 billion negative impact on operating income this fiscal year compared to the previous fiscal year. 
 What we can do on the sales front is to increase the proportion of high unit price custom products for smartphones and increase sales of relatively higher-margin sensors for AV and surveillance applications. Now, in the meantime, what we can do on the cost front is internalize the manufacturing proportion of the logic process and cut other costs across the entire company, including R&D expenses. These are the challenges management needs to overcome to improve the profitability of Sony Semiconductor Solutions, which began its operation as a separate subsidiary in April this year. 
 Next, I would like to discuss the Components segment. Sales for the quarter decreased 24% year-on-year due to the impact of the stronger yen and the decrease in sales of battery business. A JPY 32.8 billion operating loss related to the transfer of the battery business was recorded, as I mentioned earlier. As a result, JPY 36.6 billion operating loss was recorded for the segment. The fiscal year forecast for the operating results has been revised downward by JPY 36 billion to an operating loss of JPY 48 billion due to the loss related to the transfer of the battery business and the downward revision in the forecasted sales. We plan to complete the transfer of the battery business in the beginning of April 2017. We aim to transfer the business smoothly through close cooperation between both companies. 
 Next is the Pictures segment. Sales for the quarter increased 5% year-on-year, mainly due to an increase in theatrical revenues of motion picture titles. Operating income of JPY 3.2 billion was recorded, compared with the JPY 22.5 billion loss in the same quarter of the previous fiscal year due to the impact of the increase in sales. The fiscal year forecast for operating income has been revised downward by JPY 9 billion to JPY 29 billion. This was primarily due to lower-than-expected theatrical revenue and lower-than-expected Media Networks revenue compared to the level of the July forecast. 
 The turnaround of Motion Pictures, the most challenging of 3 business categories in the Pictures segment, is progressing, but it takes time for the benefit to be realized. And therefore, we believe that there's a possibility that we may not meet the operating income target we gave for the next fiscal year at the IR Day in June.
 While continuing to strengthen our marketing outside of the United States and augmenting IP, we plan to work with the new CFO of Sony Pictures Entertainment, who joined in July, to further enhance its financial discipline. 
 Next is the Music segment. Sales and operating income increased year-on-year, and JPY 16.5 billion of operating income was recorded. The performance of Fate/Grand Order, a mobile game application, and of Recorded Music continued to be strong. There's no change to our sales and operating income forecast for the fiscal year. 
 Lastly, I will explain the Financial Services segment. Revenues increased, but operating income decreased year-on-year, and JPY 33.6 billion of operating income was recorded. Revenue increased due to the improvement of investment performance in the separate account of Sony Life, primarily reflecting a rise in the Japanese stock market in the current quarter compared to a decline in the same quarter of the previous fiscal year. However, the impact of the improved investment performance has a limited positive impact on operating income because improvement in investment performance is attributable to policyholders. 
 Operating income decreased year-on-year, primarily due to the absence of large foreign exchange gains on foreign currency-denominated customer deposits at Sony Bank since foreign exchange rates were essentially unchanged from the beginning to the end of the current quarter, while foreign exchange gains were recorded in the same quarter of the previous fiscal year resulting from the appreciation of the yen. There's no change to the forecast for the fiscal year. 
 In conclusion, I would like to show the results forecast for each of our business segments. This concludes my explanation. Thank you. 
J. Hill: [Operator Instructions] Now I'd like to invite your questions. Please raise your hand if you have questions. 
Junya Ayada: Ayada, Daiwa Securities. About Semiconductors and Game business, one question each on those segments, first of all, about Semiconductor business, looking at the actual results for the second quarter, in image sensors, revenue is up by JPY 40 billion compared to the first quarter, and there are onetime factors for both first and second quarters, inventory write-downs and the impact of earthquakes, but P&L has improved only by JPY 6 billion or so. So even with the impact from the foreign currency, the profit impact seems rather small. The unit price has been flat, you said. But perhaps the profitability was bad in terms of the mix of the programs or are there any other special reasons for this not-so-great improvement in profitability? And also, I think the current production is 73K per month. The second half, do you have any numbers to the increase in your capacity? And also, the second question concerns PlayStation 4 in the Game business. In the second quarter, the volume is slightly negative year-on-year, the unit volume. And your plan is to increase the sales in the second half, but in the second quarter, it didn't grow as much. Is it a result of the launch of the new console? Or is it because of the lack of large titles that -- because there'll be significant titles to be launched in the third quarter, I wondered, does one have to be concerned about your performance in the third quarter? 
Kenichiro Yoshida: Thank you. I will answer your first question and Takeda will speak if there's additional comments. And also, on your second question, Murakami will respond. So first of all, about the Semiconductors business, the profit improvement seems to be small, rather. And also, I think the production -- also touched upon production capacity. First of all, about Semiconductors business, yes, there's impact of the ForEx market. But this period, we tried to increase sales to the Chinese customers. And in this process, more than custom products, but general products sold more and also the impact of the fluctuation of the inventory. I don't have specific numbers, but the inventory peaked in the first half, and our plan is to reduce the inventory afterwards. So at the end of the year, inventory should continue to decline with the peak having been reached in the first quarter. So there are phases where inventory is built up, and there are phases where inventory is reduced, and the profitability of course is different depending on these phases. And on the production capacity, it's a difficult point to answer. But for now, we're actually increasing our production. Because we're receiving good orders, there's been a slight increase in the production. But as to the future what will be our production, well, it's difficult to see what will be the market trend in demand, so we'll take a very cautious attitude. But toward the end of the year, it's likely that we will increase our production. 
Kazuhiko Takeda: Regarding your first question [Mr. Takeda speaking], impacts from the ForEx and also fixed cost tends to decrease when the inventory is being reduced. And indeed, in the second quarter, for certain of the models, JPY 9.4 billion of write-down was taken for some of the models' inventories. On your question about the games business and the growth of the hardware, on the 15th of September, a new PS4 was launched for sale -- was launched. And also, PS4 Pro will become available in November. And therefore, the old PS4 model people didn't buy, waiting for the arrival of the new models. And on the 15th of September, yes, we did launch the new PS4. The sales are proceeding as we'd expected. So this new PS4 and also PS Pro (sic) [ PS4 Pro ], between the two of them, the annual sales will be included in our forecast of 20 million. And we are not changing this annual volume, 20 million. 
J. Hill: Thank you. Next question. Yes, please. 
Mika Nishimura: My name is Nishimura from Crédit Suisse Securities. I have 2 questions. One, for the next fiscal year, the MRP, how do you view the mid-range plan? You made a revision on the battery business side because of the transfer of the business battery and expenses associated with it, for the next fiscal year, more than JPY 500 billion or more. Have you changed, or have you not changed? The exchange rate is fluctuating. And earlier, film or Motion Pictures seems to have some difficulty, so are there any variation among the segments? The second question, about games. PlayStation VR is on track, you said. The new entertainment -- supplying new entertainment is important, and so much expectation is given to PS4 -- or PS VR. After you launch this, what's your take on the market reception of PS VR? In VR, various players can potentially collaborate. This is a new business. Inclusive of the collaboration of the new business, if you can share the progress being made or any speed at which you are making this progress, I would appreciate it very much. 
Kenichiro Yoshida: Thank you for your question. The first point is about our take on the next fiscal year's performance by segment, any variations across the segments. Your second question is PS VR games and its prospect. Allow me to answer each. And Takeda and Murakami may supplement my comments later. First, JPY 500 billion or more, we haven't changed that stance. As I said today, for Motion Pictures, on the IR Day, that's the range we announced. And there's a risk of deviating from that range. That's why I dare mention this today. PS VR, the total unit volume I haven't mentioned, but we get a very good feeling about this. From the computer graphics, to other things such as live actions, and if you can expand this -- there is a potential for the expansion of the applications. And there's a corporate-wide effort being made towards this goal. Takeda-san, any additional comments for JPY 500 billion goal? 
Kazuhiko Takeda: This fiscal year, because of the earthquakes and the impairment of camera modules and the transfer of battery business. So it's onetime expenses that were recorded this fiscal year, but for the next fiscal year, the JPY 500 billion target, there is no change about that. For our Semiconductors business, we are trying to turn it around. For game and networks and Music, we are going to grow them steadily. For mobile, we try to achieve the black figures and make it to a more stable growth business. IP&S and HE&S, stable resource and stable source of revenue for us, and we are trying to secure a stable profit out of these 2 segments. Thank you. 
Atsuko Murakami: For PS VR, as you know, on the 13th of October, we launched this product, North America, Europe, Japan and Asia. For every region, very good sales. And some of the stores find it -- a low inventory level. The customers gave us very favorable reputations. We haven't disclosed any numbers and figures. Since the launch, the number of units sold is on track. The second half's plan, production plan, has been revised upward slightly. PS4 -- existing users of PS4, especially core gamers, there are so many of them, we would like to expand the client base. Not only games, but we would like to expand it to other areas, so there's corporate-wide efforts on this. How this will turn out, well, together with the developers, we would like to increase the sale of VR, but we are too early now to say anything definite at this moment. Thank you. 
J. Hill: We're going to take the next question. 
Masaru Sugiyama: I'm from Goldman Sachs. My name is Sugiyama. My question is about the Pictures and the games. First, about the Motion Pictures: Ghostbusters was released recently, and Inferno. One is classic, and the other is fairly more recent franchise picture. Seen from outside, the box office revenue is not as high as had been expected. Now you made the statement about the Motion Pictures earlier. How much of that is due to those 2 motion picture titles? And also, I think you said you are going to focus on franchises. And of course, will there be any further revisions to your plan by looking at the recent results? Now about the game, you said that forecast remains unchanged, but the launch of titles, the date might be changed. I think you're referring to Gran Turismo. So I do expect a fairly -- a major negative impact, but you mean -- you continue to do well on the network side, so the upside of the network, I think, is significant to offset the other negative factors. Do I understand the picture correctly? 
Kenichiro Yoshida: Thank you very much for your question. Let me first discuss the motion pictures Ghostbusters and Inferno. You shared your observation. And of course, I would like to ask Mr. Takeda to supplement. How much of an impact has those 2 motion pictures had on our forecast? The Ghostbusters did not reach the point that we had expected to reach, but in any case, we would not change our policy to focus on franchise. Rothman, our CEO, is focusing on the augmentation of IP, and I think his direction is right. So his policy or direction will be maintained and respected. Since he became the top of the Motion Pictures, he has set green light signals to some. And we have high expectations on the results that will be delivered next year and thereafter. The game, the change of the launch date for certain software titles or title, I shall refrain from -- not mentioning the monetary impact since -- and we are excluding from our forecast because it will not be launched during this year. In the meantime, PS4 software and network have demonstrated power and good momentum. There is a continued momentum in those areas. That is why our overall forecast remains unchanged. 
J. Hill: We'd like to invite another question. 
Kota Ezawa: Ezawa, Citigroup Securities. Two questions, please. Your revisions that you've made on your business plans, there are several primary causes or reasons. And onetime reasons, there are some. And excluding those onetime factors, what is the actual revision on your performance? And can you give us some thought on that? I mean my -- according to my understanding, the impact of the earthquakes has been reduced now, so that improved the profit by JPY 20 billion or so. And also, the inventory write-down is also affecting that, and also the battery business transfer. Combining all these, I think the pluses and minuses cancel each other, but you've reduced the forecast to JPY 270 billion. How much is related to the deterioration in fundamentals? Can you tell us that? Another question is about the -- your target to reach JPY 500 billion next year. Are there any hurdles? Because if you are revising the numbers downward, there has to be -- there have to be these hurdles. But you are still saying that the JPY 500 billion will be achievable, so what are the additional new initiatives that you'll be taking to make sure that the original target is still achievable? The second point is about the revisions in the forecast. Excluding the onetime factors, what is the actual situation impact on the profitability? And also, the hurdles to achieve the JPY 500 billion next year may be now higher, so what are the new initiatives to still being able to achieve that target? 
Kenichiro Yoshida: Mr. Takeda will explain about the first question, but the -- those challenges and opportunities that are included in others and Corporate eliminations, perhaps that should be explained. As we explained this the previous meeting, we have the JPY 45 billion as an opportunity challenge included in other, All Other, Corporate eliminations, but thereafter there has been a smaller impact than we've calculated from the earthquake. So the challenges partially have indeed been achieved. Therefore, for now, the opportunities that we're calculating now is JPY 20 billion. Excluding that -- or so including that, those opportunities, we'll reach JPY 300 billion, except that, because of the business transfer of batteries, there is JPY 30 billion to be subtracted from that, so that our forecast is now for JPY 270 billion. Regarding your second point, do we see higher hurdles before we can achieve JPY 500 billion? We don't know, but as we've been saying for some time now, JPY 500 billion in profit, we only achieved that level of profit 20 years ago, back in 1997. Only once have we achieved that level. So yes, the target is a challenging target. So the key point I'd like to say here is that we have to eliminate all the businesses which are money-losing businesses. So eliminating any loss-making business is the key thing that we must do. And there are no supplementary remarks from my colleague. 
J. Hill: Anyone else? Yes, please. 
Takeo Miyamoto: My name is Miyamoto from Mitsubishi UFJ Morgan Stanley. VR's volume, to me, looks small. Was it intentional that, for the first year, you set the volume at a low level? Or is there any bottleneck for -- bottleneck that you have for the production increase? And the shipment for this year, even if set at one, for next fiscal year, how much more do you think you have the potential to grow in terms of production? It's -- well, in a qualitatively way, if you can answer my question, I would appreciate it. 
Unknown Executive: Thank you. PS VR, the volume seems to be low, you said. Is it intentional, or not? And then the -- our forecast for next fiscal year. Well, PS VR, originally we focused on core gamers. As Murakami said earlier, our target was core gamer, to start with, so rather than pursuing the scale or the volume, we wanted to provide service to the core gamers first. It's not that we decrease or we intentionally lowered the target. It's just that our main target clientele is the core gamers. For the production bottleneck, I do not know any of such. For the next fiscal year, we are in the midst of creating the business plan for the next fiscal year, so allow me to refrain from answering that. 
J. Hill: Thank you. We can take the next question. 
Masahiro Ono: Ono from Morgan Stanley. I have 2 questions. First, on the mobile. European performance was poor. That resulted in downward revision of the unit sales forecast, but if you apply the foreign exchange simply and excluded that impact, it still suggests that there are some other downside risks. You talked about Europe, but can you talk about the market or sales trends of other regions, give us an update? Now 17 million, was this your trying to maintain profitability? I think this will be subject to arguments from the market. So given that, can you also update us on what you intend to do? On the second point, it's just for the sake of confirmation. Semiconductor, JPY 9.4 billion of write-downs in the semiconductor, and yet you still have JPY 20 billion of inventory. After the write-down, do you believe that the risk for the remaining inventory is limited? Or are you able to reduce the risk for the remaining inventory? 
Kenichiro Yoshida: Thank you for your question. Now your question was on the mobile and about the write-down of the semiconductor inventory. Takeda would also -- would supplement me, but let me, in the meantime, say, talk about the unit volume or unit level of the mobile. 17 million was an intended number. Whilst we have not completed discussion about the medium-term plan, but we believe that, next fiscal year and thereafter, we would be aiming for a higher level for the stability of the earnings or profit, medium-term plan. On your question about the regional mobile performance: Japan is the major market. Europe, our product lineup was not well received as we had hoped to in the market. But Asia and other regions, the number that we have achieved is not far from what we have assumed. For India, Brazil, those markets where we were not making money or there were losses, we have managed to reduce our prices. Therefore, there has not been any negative factor from those markets. About the semiconductor inventory, I think there is very limited risk after the write-down of the inventory. 
J. Hill: This next one will have to be the last question. 
Ryosuke Katsura: Katsura is my name, SMBC Nikko Securities. About ForEx and also the performance next year, I have 2 questions. First of all, on foreign currency situation, if I heard you right, the impact is negative JPY 63 billion. And how much was felt in the second quarter? I'd like to ask also, has there been any change in terms of ForEx sensitivities? Because I understand there are some other companies which experienced such a change in sensitivity terms. And also, about the second year -- the next year -- this year, the battery business and also inventory write-downs and the impact of the earthquake, these are onetime impact. Altogether, it was JPY 70 billion or so. Next year, one hopes that there would not be such onetime impacts, but if there are any, what should we be prepared for? I mean risks have been taken care of, I think, so there will be no surprises next year. But still, if there are any risks onetime in nature. 
Kenichiro Yoshida: Okay, Murakami will talk about the impact of the ForEx market, but are we contemplating any onetime negative impact for the next year? As of now, we are not aware of anything. So incorporating all that, we are still expecting or to pursue JPY 500 billion. 
Atsuko Murakami: The ForEx business -- ForEx impact, particularly regarding the Semiconductors, when we talked about JPY 63 billion, JPY 63 billion negative year-on-year, that was related to the semiconductor business SSS. And for this year -- sorry, for the second quarter, the negative impact I said is JPY 19.7 billion, but about sensitivity, there is no change. But with the semiconductors, when the dollar is JPY 1 stronger, then the impact is JPY 3.5 billion. If the yen gets stronger against the dollar by JPY 1, the impact is JPY 35 billion. Against euro, there is no significant impact. But for the full, entire company, what's the sensitivity on ForEx? Well, when the yen gets JPY 1 stronger, that's JPY 3.5 billion. Against euro, when the euro is weaker by JPY 1, it's negative JPY 5 billion. But emerging currencies, when emerging currencies go lower, in other word when the yen is stronger against emerging currencies, that's a slight negative on us. And also for entertainment and films and Music business, when the dollar is stronger by JPY 1, it's a negative JPY 1.6 billion. So sensitivity in numbers remain unchanged. 
J. Hill: Thank you. With that, we'll conclude our earnings session. Thank you very much for your visit today.